Genevieve Cunningham: Welcome everyone to the Monolithic Power Systems, Inc. fourth quarter 2024 earnings webinar. My name is Genevieve Cunningham, and I will be the moderator for this webinar. Joining me today are Michael Hsing, CEO and founder of Monolithic Power Systems, Inc., Bernie Blegen, EVP and CFO, and Tony Balow, Vice President of Finance. Earlier today, along with our earnings announcement, Monolithic Power Systems, Inc. released a written commentary on the results of our operations. Both documents can be found on our website. Before we begin, I would like to remind everyone that in the course of today's presentation, we may make forward-looking statements and projections within the meaning of the Private Securities Litigation Reform Act of 1995. That involves risk and uncertainty. Risks, uncertainties, and other factors that could cause actual results to differ from these forward-looking statements are identified in the safe harbor statements contained in the Q4 2024 earnings release and in our SEC filings, including our Form 10-K, which can be found on our website. Our statements are made as of today, and we assume no obligation to update this information. Now I'd like to turn the call over to Bernie Blegen. Thanks, Jen.
Bernie Blegen: Good afternoon, and welcome to our Q4 2024 earnings call. In 2024, Monolithic Power Systems, Inc. posted its thirteenth consecutive year of growth with full-year revenue of $2.2 billion, up 21% from 2023. For Q4 2024, we had record quarterly revenue of $621.7 million, above Q3 2024 and 37% higher than the fourth quarter of 2023. This performance reflected the strength of our diversified market strategy, consistent execution, continued innovation, and strong customer focus. Let me call out a few highlights from 2024. We introduced the silicon carbide inverter for high-powered clean energy applications. Initial revenue is expected to ramp in late 2025. Other silicon carbide-based applications are expected to be introduced in multiple geographies during both 2025 and 2026. We developed a family of high-quality, cost-effective automotive audio products utilizing DSP technology from our 2024 XSign acquisition powered by Monolithic Power Systems, Inc. solutions. For enterprise notebooks, we launched a battery management solution and are sampling a new mini phase power stage. These products enable faster charge time and significantly improve notebook battery life. Building on our first analog-to-digital converter design win in 2024, we are developing new high-accuracy 24-bit converters, which are expected to ramp in the second half of 2025. Monolithic Power Systems, Inc. continues to focus on innovation, solving our customers' most challenging problems, and maintaining the highest level of quality. We continue to invest in new technology, expand into new markets, and diversify our end market applications and global supply chain. This will allow us to capture future growth opportunities, maintain supply chain stability, and swiftly adapt to market changes as they occur. Finally, I'm pleased to announce our quarterly dividend will increase 25% to $1.56 per share. And during Q4 2024, we completed share repurchases under a 2023 $640 million authorization. This week, our board of directors authorized a new $500 million three-year share repurchase program. For the three years ending December 2024, Monolithic Power Systems, Inc. has returned 86% of its free cash flow to shareholders through share repurchases and dividends paid. Our proven long-term growth strategy remains intact as we continue our transformation from being a chip-only semiconductor supplier to a full-service silicon-based solutions provider. I will now open the webinar up for questions. Thank you, Bernie.
Genevieve Cunningham: Analysts, I would now like to begin our Q&A session. As a reminder, participants can click on the menu bar and then click the raise hand button. Our first question is from Tore Svanberg of Stifel. Tore, your line is now open.
Tore Svanberg: Yes. Thank you, and congratulations on the solid results.
Michael Hsing: Either Michael or Bernie, could you talk a little bit about the dynamics here in the March quarter, especially by segment? You know, obviously, we know some end markets are still soft, yet others are actually quite healthy. So any more color on how you see the various segments in the March quarter would be really helpful.
Bernie Blegen: Sure. As far as our Q1 outlook, I think we need to take the perspective that relative to the size of the market, we're a fairly small player. But we have a lot of greenfield design wins which have been previously delayed that are now starting to ramp as we enter 2025. So when we look at two of the areas that are going to drive most of the growth in the quarter, automotive is continuing to grow, and communications, where we launched some new products in Q3, are bouncing back from Q4 and will continue strong. Memory's demand profile is also very good, and notebooks look to be having a Q1 uplift. We don't know for sure, but we've had many design wins and believe that those are coming into the market. On industrial consumer, we have a lot of new product ramps that are likely to start to contribute at the end of 2025. And on the enterprise data, it will be down.
Tore Svanberg: Very good. And as my follow-up on enterprise data, how should we think about that business throughout calendar 2025? Again, obviously, a lot of different dynamics, you know, different players. You know, the growth trajectory for that business throughout calendar 2025. Any color you can share with us there?
Bernie Blegen: Yeah. We don't talk about it in the near terms in the specific customers as we always do. So, again, I mean, the near term is that we can control our customers' buying pattern, their allocations, and the like, but overall, this is a multi-billion-dollar market segment. We are getting ready for these next few years in the growth, and it's clearly a multi-billion-dollar opportunity. But for us, in near terms, this year could be even or maybe slightly up. Okay. We is our best guess. We don't know.
Michael Hsing: Yeah. Just to add a little bit of color to how we see the year rolling out, we believe that we will be off to a slower start in the first half of the year. But as the year develops, the customer base is expected to broaden as hyperscalers launch their new products. So we have multiple product ramps with both existing customers as well as with these new hyperscalers. So as Michael just said, we believe it's likely to be a flattish year, but we believe that from a quality and supply availability perspective, we're in very good shape.
Tore Svanberg: That's fair. Congrats again on the results.
Bernie Blegen: Thank you.
Genevieve Cunningham: Our next question is from Rick Schafer of Oppenheimer. Rick, your line is now open.
Rick Schafer: Yeah. Thanks, guys. I'll add my congratulations. And if I could maybe tack on to the back of Tore's question, I was wondering if you could update us maybe just to give us a sense of the number of accelerated projects that you expect to ramp this year and into 2026. Just to kind of get a sense. I heard you loud and clear, Michael, that this is a billion-dollar-plus TAM. I'm just trying to get a sense of how...
Michael Hsing: It's a multiple billion. Oh, multiple billion. Yeah. Don't be shy about that. We're not shy on it. No. Okay. We don't want to lose that. Okay?
Tony Balow: Rick, this is Tony. I'll jump in. I think what we want to say is we're engaged across all the hyperscalers, but what you heard Michael say was that the exact timing of the ramp is very difficult for us to call. So I don't think we want to put a specific number of customers or exact ramp times out there other than saying that we're engaged broadly across them. As Bernie said, we believe that's going to scale through the second half.
Michael Hsing: I can give you examples. And we foresee that these projects are going to ramp. In 2022, 2023, you look at the automotive side. We said that we have a lot of design wins. And we said, oh, these are going to ramp up, or we put a lot have a lot of inventories. And, 2023 is kind of flattish years. Our customer delayed their launch, so 2023 affected us. But I keep saying it. We don't really care. So, like, and as long as we have a product and it's designing, and designing their new product, especially to look and we're turning to a revenue plus minus twelve months, eighteen months.
Bernie Blegen: And if I could just add to Michael's comments there. When you look at automotive, it was delayed not just in 2023, but also in the first half of 2024 against what we had built inventory and against our expectations. But now, as you can see, it's very solidly on track with two consecutive quarters of growth. And likewise, you could apply that same formula to what we're seeing in the communications with the release of the fiber optics in the data center. So we have the technology, but where it intersects and ramps in the market, a lot of that's a little bit out of our control.
Michael Hsing: Well, you mean the directly AI powers. Okay. We have so many projects working with multiple hyperscale companies, and so we cannot tell which one is, well, ramping first. Okay? I know what the magnitude of ramping. Just we are getting the supply chain ready, get our quality testing facility ready to receive these revenues. Okay. Turning to these revenues. And so the timing we care less.
Rick Schafer: Thanks for all that color, Michael. You know, funny you're talking about auto because that's my second question if I could. You know, the EV conversion to 48-volt power and to 800-volt batteries is sort of set to ramp this year, I believe, and I know you mentioned in the prepared remarks, Bernie, you know, that you're going to be shipping power isolation content. Second half, I think I heard you say, and I believe EV is about three-quarters of your auto business. So I just wondered if you could talk us through sort of what your potential content given all those changes, right, all these additional drivers, you know, what your content looks like last year or potential content per vehicle versus what it looks like, you know, in 2025 with all these new jump balls.
Michael Hsing: Some very good questions. And we mentioned about 48-volt system many, many years ago. Okay? And particularly for auto, now, it became a hot topic. And we have all these products ready. We're designing those new vehicles. And these have a base on 48-volt systems. We can capture a lot. And, when once their product once their vehicles are ramping up, put on the market, and initially, we'll be another dominant player.
Bernie Blegen: And I think that this is the rollout in automotive starts with EV, which is quicker to adapt new technologies onto their platform, but we expect it to continue for multiyear.
Michael Hsing: Yep. Again, Monolithic Power Systems, Inc. provides a 48-volt integrated solution. And all of these high-power modules are all based on the Monolithic Power Systems, Inc. silicon solutions. And those will significantly change all these discrete ways of doing it, accruing together, the 48-volt solutions. So that definitely sets Monolithic Power Systems, Inc. apart from the rest of our competitors.
Bernie Blegen: And, Rick, beyond just pure 48-volt, remember what you saw beginning Q3 was, you know, designs outside of ADAS start to hit the market. We saw more broad-based growth in the auto segment. We'd expect that to continue as additional sockets come to market. So I think that's the other dynamic that's happening as well.
Rick Schafer: Great. Thanks, you guys.
Genevieve Cunningham: Our next question is from Ross Seymore of Deutsche Bank. Ross, your line is now open.
Ross Seymore: Can you hear me now?
Bernie Blegen: Yep. Yep. Hi, Ross.
Ross Seymore: Perfect. Hi there. Just want to revisit the enterprise data side of things and, you know, not to overplay that. But the market share gains and dynamics in server CPU side of things, has that changed at all? Because I, you know, I think everybody knows what's going on with key customers and the diversification, you know, market share shifts and those sorts of things. But do you guys have other things that are happening as we speak as well? So I really wanted to focus on the dynamics outside of those, not just with the ASIC providers and other GPU providers, but also with the CPU market share and servers. So any update on that would be helpful.
Michael Hsing: Ross, so let me say something else first. Our inventory is low and the channel inventory is low. We're ramping up.
Bernie Blegen: I didn't know if I had to follow-up on that. It's a very good question. And let me just give you a little bit of what we're seeing. It's a fast-changing landscape. And what I mean by that, it's difficult to offer commentary on enterprise data in its different components. The lines between CPU and GPU are becoming blurry, and in support of both lines of business, we have a lot of standard products. So while we've historically had better visibility in the separation and track them a little more easily, it's hard for us to make more than just a generalized comment about what direction either market segment's going in.
Michael Hsing: Yeah. I mean, I've added that. Okay. We are getting significant shares on the server side. And once you see the server market start to ramping up, well, the Monolithic Power Systems, Inc. revenue will ramp with it.
Ross Seymore: Great. I guess as my non-inventory follow-up, the communication side, you guys did well in that in the second half of the year. It's a little bit choppy still, but can you just give us an idea of the profile of that business? Much is kind of the old comms versus the new comms, and give us a little bit more color on what the growth driver is that gives you the confidence for the year and, you know, I assume it's on the optical side of things, but just a little more details on that would be helpful.
Michael Hsing: We're all laughing, Sanjay. And would you say the beginning of the question so Okay. It was comms. Right? Ross? Yeah. And the communications.
Ross Seymore: Side, it just you know, you guys have been talking about that growing for many, many years, and it finally did last year. But I know there's some, you know, legacy pieces and some new pieces, so I just wanted to try to get some color on the difference between them.
Tony Balow: Yeah. Ross, I think you kind of hit it when you were asking the question. Right? If you could comp us going forward, the area of strength that we've really been calling out is an optical. And we'd expect that to continue as part of the overall data center opportunity that you heard Michael talk about. So I think that's probably the biggest inflection point that you've seen in the past couple of quarters versus legacy business.
Ross Seymore: Got it. Thank you.
Genevieve Cunningham: Our next question is from Gary Mobley of Loop Capital. Gary, your line is now open.
Gary Mobley: Hey, guys. Let me extend my congratulations as well. I wanted to start with a housekeeping question. Are there any greater than ten percent customers in fiscal year 2024? And if you can't name the customer, can you at least give us a sense of how big that customer was in the year?
Bernie Blegen: Certainly. For the three quarters Q1, Q2, Q3 in our 10-Q, we said that we had two direct customers which are distributors that were greater than ten percent and one indirect customer that was greater than ten percent, and that carries through for the full year as well.
Gary Mobley: Okay. But you can't give us a number that will publish in the 10-K in terms of the percentage of revenue from that direct customer?
Bernie Blegen: Not at this time.
Gary Mobley: I tried.
Bernie Blegen: Alright.
Gary Mobley: Wanted to ask about revenue diversification outside of your traditional power management market. And if I count correctly, there's maybe four shots on goal, and you highlighted some of those in your press release. And that would be, you know, data converters, silicon carbide, DSP audio, and battery management systems. So my question is, you know, how big in revenue terms could that be, and if this fiscal year 2026 time frame? Or said differently, how much of a growth catalyst can be on top of what you're producing in traditional power management?
Michael Hsing: Traditional power management, they're talking about these are low voltage things that if it's what you mean. And, okay, the silicon carbide is, of course, to me, is also in the power management. And, again, but these are much higher powers, not high very high power management. We don't want to put on the numbers, but these are, again, it's a billion, a couple billion dollar opportunity for all of them. For Monolithic Power Systems, Inc. I don't want to put a timeline on it. Okay.
Tony Balow: I was I know it says, you know, we picked a couple for the script, but we only, you know, could put a few in for time. But I think our strategy continues to be plant a lot of seeds in a lot of different areas that can turn into revenue as the market decides what to prioritize.
Michael Hsing: Oh, that's a good point. And they I only yeah. We on March 20th, we have an analyst day. And that game. And this time, you come over, you will see a lot of showcase on the Monolithic Power Systems, Inc. new technologies. And these all will contribute in the next few years of growth. Okay. And if you want to hang on what what is the numbers, okay, I would say that, okay, if you look at the past before Monolithic Power Systems, Inc., what the model it is. We will I don't see anything any reason we should change. Okay? Sure. Faster or slower.
Gary Mobley: Thanks, guys.
Genevieve Cunningham: Our next question is from Quinn Bolton of Needham. Your line is now open.
Quinn Bolton: Hey, guys. I'll offer my congratulations as well. I guess, Bernie, Michael, obviously, a very strong start to the year in the March quarter. Your comments about enterprise data certainly sound like that business might be more second half weighted. And so I guess I'm just trying to think, you know, what what sort of revenue pattern would you expect, you know, through 2025? Is the first half, you know, slower, the second half materially stronger? Do you think that you have some puts and takes? And so it's a, you know, kind of more linear ramp through the year. Just any any sort of thoughts on the shape of revenue through 2025 would be would be helpful.
Bernie Blegen: Yeah. So the comment that we made as far as the outlook for the year really looks at, you know, the design wins we've secured and an expectation of what is going to be ramping. Keep in mind, though, that particularly in the AI side of enterprise data, that that is tended to be very volatile and that we have relatively short lead times as far as when we get hard information or POs for actual delivery. So I think that within the context of, you know, what we believe is most likely to happen, we're very secure by saying a flattish year that's weighted to the back half, but how that curve actually plays out over the quarters is to be determined.
Michael Hsing: Yep. Let me add it. Okay. Bernie said model to me is that these industries and, okay, these applications if you will, and again and very at the it is at the initial ramp. And so you're only involved with a we have a few customers. Now so, like, we talked about it before, so we have multiple customers. Okay. And they start to ramp. It's very good for Monolithic Power Systems, Inc. Very we will we've focused on the diversifications. And even within a single segment.
Quinn Bolton: Well, kinda, I guess that was gonna be my my sort of second question just thinking about the enterprise data segment. Can you just give us a sense what you're seeing in terms of one, you know, like for like, pricing pressure and then two, I think some of the newer designs really move away from a silicon-only solution to much more of a module solution, and I assume that those carry much higher dollar content for you. And so do you see, you know, as you mix the customer, you ramp some of the new hyperscaler designs, do you think the blended ASP trends in that business even if you see some like for like pricing, could that go higher through the year as these new platforms ramp?
Michael Hsing: Well, Monolithic Power Systems, Inc. is going to stick with our models. In that game and margin models. We provide performance. If it doesn't fit the Monolithic Power Systems, Inc. business model, we don't take those businesses. And so far, we're the leading suppliers in silicon as well as power modules. And so this is the reason we in a very short time, in the last twelve, twenty-four months, we have engaged with all these hyperscales. We have all these projects designed in it. And also we have many future products in development.
Quinn Bolton: Got it. Thank you, Michael.
Genevieve Cunningham: Our next question is from Chris Caso of Wolfe. Chris, your line is now open.
Chris Caso: Yes. Thanks. I guess just to start, I just want to make sure I understood correctly that some of the comments. So when you look at the enterprise data flattish for the year weighted to the back half, and I'm assuming that's the entirety of the enterprise data segment, not just that associated with AI. And, you know, maybe you could talk about how you know, you talked about some of the hyperscalers, some of the custom ramps happen in the second half of the year. Is that what's driving that strength in the back half of the year? What's kind of driving that back half weighting?
Bernie Blegen: Chris, that's an accurate observation. It's as we look at the ramps for those SOCs and some of the tensor processor products that are expected to come out. We've been prototyping those, but the revenue ramps are really weighted to the second half. And in addition, some of our existing customers in the AI business in particular have multiple new products that they're ramping, and those will have different demand profiles as well. And then that's just within the enterprise data. I think another important ingredient is what we've referred to as the triple down effect as we see the other applications that are allied enterprise data or AI specifically in memory, optical, and networking, and all three of those are areas for growth as well during 2025.
Chris Caso: Right. And I guess, you know, as you look at the full year, you know, obviously, you know, from what you guys are seeing and, you know, the better than seasonal Q1, you know, it's safe to say you're starting out a little better than, you know, some of the others in the space. You know, what's your thought as you go through the year? I mean, is there any lumpiness with regard to, you know, some of the opportunities that are ramping early in the year that we should consider as we go through the year? Or, you know, is, you know, excluding the enterprise data's business, do you see revenue, you know, kind of on a fairly stable, upslope trajectory as you go through the year?
Michael Hsing: Yeah. I couldn't tell you some. It's very difficult to say sooner than you go by year by year, we don't go by year by year. Okay. I mean, but all the way, we have to report it year by year. And give you examples. Our large customers start to push out some product pulling a lot of other ones. So we can't we can't really tell. So, like, I mean, and other customers, other hyperscales start to ramp. Okay. It's telling us we're going to keep a rim. Whether the ramp has an effect and remove our revenue needles, in Q4 of this year or Q1 of next year, we can't tell.
Tony Balow: Yeah. Maybe the only thing I'd add on Michael is it just goes back to the focus on what you can control. Right? And, you know, the organization looking at providing the best products, you know, with the best quality, and that's what we can do right now. And as the market then, you know, plays through, that will turn into revenue. So don't think we're trying to get into a quarter by quarter debate here, Chris. I think that's how we've more landed kind of in a first half, second half dynamic at this point.
Chris Caso: Alright. Thank you.
Genevieve Cunningham: Our next question is from Joshua Buchalter of Cohen. Joshua, your line is now open.
Joshua Buchalter: Yes. Thank you for taking my question. A couple of times, you've talked about the hyperscale program sort of driving growth more so in the back half of the year. I guess if we compare these sockets to, you know, what you've already done in AI and the accelerator side, there's a lot of companies in the analog space that are saying that they have power engagements with ASIC vendors as well. Would you expect the majority of these merchant ASIC programs to be dual-sourced, and I know you're not going to necessarily quantify share, but I'd just be curious to hear how you're seeing the competitive environment in these sockets.
Bernie Blegen: Sure. Let me take the first opportunity there. If you look at our most recent track record in the new and I'd say new, relatively new, AI business. The reason we were able to secure a lead position initially is because of our ability to innovate and our time to market along with, you know, our overall performance characteristics. So to the extent that that is valued, in these product launches, those are the qualities that give us an opportunity to have a first-mover advantage. But as we've said a couple of times on this call, when we look at our customers, we don't necessarily control what their decision process is or why. And so, again, we lead with our strengths and believe that we're well-positioned, and then we'll see how the numbers turn out towards the end of the year here.
Michael Hsing: Yeah. You mentioned the second half. You pinged it down as on the second half of the ramp. What we mean is in the very near future.
Bernie Blegen: Yeah.
Michael Hsing: It could be Q1, but Q1 of next year could be Q3 of this year. Or even overlapping in Q2. And a lot of things, as I said earlier. Okay? And our large customers, some of the push out, other ones are pulling to the game. And pulling very urgently. Okay? I mean, so we cannot tell.
Bernie Blegen: I guess to put a punctuation statement, we remain cautiously optimistic, but our momentum is certainly in the right direction.
Michael Hsing: Oh, that's the professional way to say it.
Joshua Buchalter: We always get the more professional answers from Bernie. Okay. No. Thank you.
Bernie Blegen: Thank you both for the color there. As my follow-up, I guess, you know, you're kind enough to give sort of a rough outlook for enterprise data growth for 2025. Any more clues you can give us on how you're expecting, either at the company level 2025 growth to shake out in any sort of, you know, which segments you would expect to be the biggest contributors to growth?
Michael Hsing: Biggest ones, we're thinking is a multiple of them. Yeah.
Bernie Blegen: And we...
Michael Hsing: Sometimes it would pick a number, but it's not it was wrong. Okay? And but other ones are coming up.
Bernie Blegen: And we focus on the diversified growth that that's that is the key strategy we've been playing the same principles for the last twenty-five years.
Michael Hsing: And if this thing doesn't work, then other things will work. Okay. That's always our strengths. And as long as we bring up the best performance, highest performance in the market. We will if this segment slows down for whatever the reasons, other segments will pick up.
Joshua Buchalter: Thank you both, and congrats on the results.
Michael Hsing: Thank you.
Genevieve Cunningham: Our next question is from William Stein of Truist. Will, your line is now open.
William Stein: Great. Thanks for taking my question. We start with what everyone's been asking about is enterprise data. I think you highlighted, Bernie, that it's going to be down sequentially. Can you give us a little help on the modeling? Because, you know, down could be down, like, three percent or, like, thirty percent. Maybe just dimensionalize it a little bit to give us some context, please.
Bernie Blegen: Yeah. I think that it'd be really hard. Again, what Michael just said is that the strength of our model is the diversification. And I would probably point to the outlook that we've given in total for Q1 as being a risk profile that we believe we can deliver comfortably against. Based on what we can see in our backlog and the ongoing ordering patterns. But again, trying to actually stratify with a level of precision on the end market at this point might be difficult.
Michael Hsing: Yeah. You may be looking for precision, and okay. And the realities in the business, we go for long terms. And we go for long term. It doesn't mean near term will have uplift in our revenues. Okay?
William Stein: Yeah. Clearly, my ability to model the near term is problematic. A follow-up if I can. Maybe let me switch gears a little bit. Michael, I think in the past, you talked about having some capability in microcontrollers. Historically, you know, I know that it's not, like a focus or it's not a meaningful part of your revenue as well as I understand. Should we expect that to change? There's so many new products you talk about silicon carbide power and converters now and DSPs even. Should we expect microcontrollers or any other digital sort of logic technology to become a bigger part of your revenue over time?
Michael Hsing: Very good questions. And we don't list out a microcontroller as a standalone standard product that we sell. As a matter of fact, we sell many microcontrollers now. Okay? And as I recall, in my mind, can come up twelve, thirteen microcontroller projects is ongoing. Some of those stuff is shipping. But what we sell microcontroller is this on the system level. And as Bernie earlier said, in the last field conference, Monolithic Power Systems, Inc. is evolving to a silicon-based solution company. Microcontrollers play a key role. And all these powers, all these other lighting, all these other audios, and including power supply, including AIs, they all have microcontrollers in it. And we don't list separate the items and the standard microcontroller part. A lot of and clearly oh, also a lot of microcontroller integrated. And that's the reason we don't list it apart. This is separate. Okay?
William Stein: Thank you.
Genevieve Cunningham: Our next question is from William Kirwan of Morningstar. William, your line is now open.
William Kirwan: Hey, everyone. Thanks for letting us get a question. Questions so far, so I'll try not to beat any dead horses. But maybe it sounds like at least in the March quarter automotive communication seemed to be driving some of the growth. So I'm wondering if you could just give a broader view into the demand for those markets for 2025 and your opportunities for share gains in those two.
Bernie Blegen: Sure. Well, it's good to hear you in the Q&A, by the way. When you look at the end markets, most of the ones that we have are long design cycles. And automotive probably lends itself to being the most predictive because we secure design win two to three years for an EV in advance when it gets launched. Or as many as four to five years for a traditional internal combustion engine. Now having said that, the timing of those ramps, when it gets the design win comes to market still remains a question mark. But within the context of, you know, six to nine months, we can be reasonably predictive. So in automotive, we see continuation of what's been driving our last two quarters of growth as far as EVs in China. And those will be supplemented in the second half of the year more likely by a European OEM that is going to be bringing up an autonomous driving ADAS solution. As well as additional content opportunities in North American EV companies. And then when you look at the communication side, I think that is we're very early stages of being able to ramp the revenue opportunities, particularly in fiber optics. We started out with two primary customers, but we expect that customer base to diversify over the year.
Michael Hsing: As always the pattern.
Bernie Blegen: Yeah.
Michael Hsing: That's excellent. And then, you know, maybe one just on some of the new products that were introduced at the start of the call. Really just which one of these maybe excite you the most and what are the new markets that you might be able to enter with these that are the most attractive, do you think, from a growth perspective?
Michael Hsing: The most exciting product, we haven't announced it yet. Come over to an Analyst Day. Okay. March 20th. I'm locked 20th. I said, okay. And these are equal babies. Okay? They all grow.
Tony Balow: Should be very same same right now. Yeah. Again, we picked four, but there's many more behind that. So it's hard to pick just one.
Bernie Blegen: Actually, we wanted to have a teaser to make sure we had the best turnout for the investor day.
William Kirwan: Okay. Excellent. Well, we'll wait for more detail in March. Thanks, guys.
Michael Hsing: Alright. Okay.
Genevieve Cunningham: Our next question is from Hans Mosesman of Rosenblatt. Hans, your line is now open.
Hans Mosesman: Thanks. Congrats, guys. I'll be quick. What is the split for your enterprise data between AI and non-AI, if that's possible? And I have a follow-up.
Bernie Blegen: Yeah. Again, I think we already answered that question by saying that those lines are getting blurry, so we really don't have a meaningful way to make that divide.
Michael Hsing: And our customers are not were not appreciated where we disclose those numbers.
Bernie Blegen: And our customers have made it very clear.
Hans Mosesman: Is non-AI considered memory and optic historically? Just out of curiosity.
Michael Hsing: Different market segments. Optics and communication, memories, and storage.
Hans Mosesman: Fine. Okay. At the risk of upsetting your customers, if you answer what is the share between your historical AI customer for this year versus accelerator customers. What's the split? Is it ten, ninety, or fifty fifty year?
Bernie Blegen: And for this year, and at the end of the year, and we probably will have a more or in the near term where we have a more clear picture, but then now we don't. And frankly, it's not clear where as Bernie said, we're not in a position to answer that game. And also by either by product, they share the same product, and also some customers and doesn't want us to release these informations.
Hans Mosesman: Okay. Thank you very much.
Genevieve Cunningham: Our last question is from Joe Kotraki from Wells Fargo. Joe, your line is now open.
Joe Kotraki: Thanks for taking the questions. Just curious on the notebook strength that you guys are talking about into the first quarter. Wondering this, you know, what's driving that? Is that strength from are starting to see pull for AIPCs or is it channel refill? Just trying to understand some of those dynamics.
Bernie Blegen: That's a great question. In fact, we believe that a lot of the design wins that we've had in notebooks more recently are tied into, you know, new AI product demand. But as I said, it's a little bit of an atypical ramp for Q1. So we really don't have a definitive answer on the why behind it.
Joe Kotraki: Got it. And then just, you know, trying to think about the new projects that are running in the second half for enterprise data. Any help that you can provide and just try to think about, like, the architectures of those solutions that you're shipping to your customers, are you still largely seeing those as being lateral power opportunities or those starting to move to more vertical solutions?
Bernie Blegen: Yeah. I think you heard us talk a couple of times that we're not going to talk specific at any customer or their particular architectural solution. I think for us, what you see us again focus is providing a portfolio of products with the best quality, the best performance, and then the customers can choose what works for them.
Michael Hsing: And going back to Michael's earlier comment as far as basically the value proposition of the principles we operate under, what we're most interested in doing and continuing to do is winning sockets.
Joe Kotraki: Yeah. Our customers have picked particularly does it not want us to reveal the lateral power or vertical power?
Bernie Blegen: Got it. That's helpful. Thank you. This concludes our Q&A session.
Genevieve Cunningham: I would now like to turn the webinar back over to Bernie.
Bernie Blegen: I'd like to thank you all for joining us for this conference call. As a quick reminder, we will be hosting our investor day on March 20th, 2025. Michael and other Monolithic Power Systems, Inc. executives will showcase our vision for innovation and outline key elements of the company's long-term growth strategy. The event will be held at our San Jose offices and will include live presentations, a Q&A session, and demos of our latest solutions for a number of applications and a lot of other markets. If you haven't done so already, please email your RSVP to mpsinvestor.relations@monolithicpower.com. You can also access a live stream of the event on our investor relations website. Separately, I look forward to talking to you again during our first quarter 2025 conference call, which will likely be held in May. Thank you, and have a nice day.